Operator: Good day ladies and gentlemen and welcome to the First Quarter of 2013 BBCN Bancorp Incorporated Earnings Conference Call. My name is Regina and I will be your conference operator for today. At this time all participants are in a listen-only mode. Later we will be conducting a question-and-answer session. (Operator Instructions). As a reminder today’s event is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Ms. Angie Yang; she is the Senior Vice President of Investor Relations. Please go ahead Angie.
Angie Yang : Thank you, Regina. Good morning, everyone and thank you for joining us for the BBCN 2013 first quarter investor conference call. Before we begin, I'd like to make a brief statement regarding forward-looking remarks. The call today may contain forward-looking projections regarding future events and the future financial performance of the Company. These statements constitute forward-looking statements within the meaning of the U.S. Private Securities Litigation Reform Act of 1995. Such words as, expects believes, estimates, anticipates, targets, goals, projects, intends, plans, seeks and variations of such words and similar expressions are intended to identify such forward-looking statements which statements of historical facts. We wish to caution you that such statements reflect our expectations based on information currently available are not guarantees of future performances and involves certain risks, uncertainties and assumptions that are difficult to assess. Actual results may differ materially as a result of risks and uncertainties that pertain to the Company's business. We will refer you to the documents the Company files periodically with the SEC as well as the Safe Harbor statements in the press release issued yesterday. These documents contain important risks factors that could cause actual results to differ materially from the forward-looking statements. BBCN assumes no obligation to revise any forward-looking projections that may be made on today's call. The Company cautions that the complete financial results to be included in the quarterly report on Form 10-Q for the quarter ended March 31, 2013 could differ materially from financial results being reported today. Now, before we begin, I would like to inform you that we have a couple of mistakes in the release. For the section in which we discussed non-interest income we have switched a line item details for the 2012 fourth quarter and 2012 first quarter. Also, in the financial statements where we provide the CRE loan balances by property type in the 12/31/2012 column, it appears we have switched the balances for the mixed use facilities and warehouses. We will be issuing a corrective press release after this call but we wanted to bring this to your attention now. Okay. We have allotted one hour for this call. With us today from management are Kevin Kim, BBCN Bancorp Chairman and CEO; acting President and Chief Operating Officer, Bonnie Lee; and our Chief Financial Officer, Doug Goddard. Our Chief Credit Officer, Mark Lee; and our Chief Lending Officer, Jason Kim, are also here with us and will be available to respond to question during the Q&A session. With that I’d like to turn the call over to Kevin Kim. Kevin?
Kevin Kim: Thank Angie. Good morning everyone and thank you for joining us today. There is my first earnings conference call since being named Chairman and CEO of the holding company. I’m pleased to have had the opportunity to meet with many of our participants in the investment community and I look forward to meeting with a greater number of you in the near future maintaining closer relations. With that let’s begin. We continue to make progress strengthening our leadership as the premier Korean American Bank in the nation. The Pacific international transaction was closed on February 15 and we completed the systems integration on March 18. With this transaction, BBCN is now deleting Korean American Bank serving the communities in the Pacific Northwest in addition to our leadership in Southern and Northern California and the New York metropolitan area. From a financial result perspective, our net income for the quarter was impacted by the elevated provision expense related to one large loan which Doug will discuss in more detail. With the 2013 first quarter, our net income which is now equivalent to net income available to common stockholders following the TARP redemption last year came in at $17.5 million or $0.22 per diluted common share. This compares with net income available to common stockholders of $21.5 million or $0.28 per diluted common share for the proceeding 2012 fourth quarter and $22.1 million or $0.28 per diluted common share for the year ago first quarter. The earnings power of BBCN is demonstrated by our pre-tax, pre-provision earnings which amounted to 2.54% of average assets on an annualized basis for the first quarter of 2013. Our return on average asset was 1.22% and our return in average equity was 10.42%. The strength of BBCN however is highlighted by our loan production which has been ahead of our peers both in our niche markets and in the mainstream. So let me hand it over to Bonnie now to discuss our achievements on this front. Bonnie.
Bonnie Lee: Thank you Kevin and good morning everyone. We've had a solid quarter of loan production, particularly given that the first quarter is additionally softer in terms of loan demand, and we had experienced some go forward with the loans at the end of 2012. In total for the first quarter 2013, loan originations amounted to $220.7 million, this represents an increase of a 32% from $167.6 million of loan production in the first quarter a year ago. CRE loans represented 76% of our first quarter loan production. C&I loans represented 22% and consumer loans accounted for the rest. Seven out of the ten largest loans originated this quarter were refinancing out of commercial real estate loans, they came to us from a variety of main stream and Korean American banks. Within the theory category the loan production was broad based across both geography and property types with a strong growth coming in the warehouse, retail, hospitality and gas station. In particular, the hospitality sector is presenting a great deal of refinancing opportunity. Most of these borrowers are franchises of a national chain, after having seen their businesses recover from the economic downturn they're now good candidates for refinancing. We know this industry and these markets very well and our responsiveness has helped us to win a lot of this business, the one C&I loan within our 10 largest originations in the quarter was a $10 million line of credit for the U.S. subsidiary of a Korean company, we won this customer from a Korean national bank and I am pleased to report that this company also represents a sizeable deposit relationship. We are pleased that we have been able to keep pricing on new origination relatively stable over the past few quarters, the average rate on new loan originations was 4.52% in the first quarter down just two basis points from the preceding quarter, we also showed nice growth in our SBA loan originations over the prior year, we posted nearly $50 million in SBA loan originations in the first quarter of 2013, an increase of a 43% over the first quarter last year. Heading into the second quarter, we are optimistic that our loan production will follow; it's a typical pattern of accelerating into the second half of the year. As Kevin mentioned, we completed our acquisition of Pacific International Bancorp during the first quarter. The integration has gone smoothly and four more Pacific International branches are now operating under the BBCN Bank brand. Pacific International has not been very active in mending over the past couple of years as it primarily focused on managing asset quality. So it would take us a couple of quarters to ramp up their business development activities in this market, but over the longer term we expect that the Pacific proves us to be a meaningful contributor to growth for BBCN. With that let me turn the call over to Doug.
Doug Goddard: Thank you, Bonnie. We have provided quite a bit of detail in our press release, so I will just discuss the few items where I think some additional color is warranted. Taking a look at our income statement, there is very little change from quarter-to-quarter in any of our revenue components. Compared with the fourth quarter 2012, our quarter net interest margin declined by 9 basis points, in addition the effective purchase accounting adjustments was 3 basis points this quarter. The primary driver of the pressure on NIM was the lower average yields in the loan portfolio as loans at higher rates roll off the books and new loans and refinancing are being booked at the lower rates in the current environment. One offset to the lower loan yields was the shift of cash balances in the higher yielding assets. As you may recall we have built up some additional liquidity in anticipation of potential volatility in deposits around the end of 2012. We have not seen any meaningful deposit outflows; we began redeploying that excess liquidity. At March 31, our cash balance declined by approximately $33 million from the end of the prior quarter. We believe we have some additional room to bring this down even further. Within non-interest expense, our salaries and benefits expense increased by a little more than $2 million from the prior quarter. This is primarily attributable to payments related to the transition in senior management as well as the addition of Pacific International during the quarter. Moving to the balance sheet, we added approximately $130 million of loans for Pacific International, net of the credit mark which was approximately 10%. We also added a $143 million of deposits of which approximately 15% were non-interest bearing deposits. Turning to asset quality, the loans added to Pacific International contributed $6.9 million to the increase of non-performing loans by way of the delinquent loans 90 days or more on accrual status line item. It also added $9.4 million towards delinquency of 30 to 89 days and $25 million toward total criticized loan balance. As with all acquired loans, these loans have been mark-to-market and we believe the loss exposure is minimal. In addition, the transaction added $4.7 million to our OREO. During the first quarter, we reported a provision for loan losses of $7.5 million, approximately $5.1 million of the provision was related to a new specific reserve set up for a $10.3 million commercial real estate loan that was restructured and placed on non-accrual status during the quarter. This loan was for a single tenant industrial warehouse in Michigan that lost its sole tenant. The owner is currently in discussions with new potential tenant but we believe it is unlikely the property will generate the same level of cash flow as it did under the previous tenant due to the current market rates. CRE loans look outside of our core markets in California, New York, New Jersey, Washington and Illinois comprise approximately 7.5% of our CRE portfolio. The net single tenant rental property outside of our core market is less than $2 million. Beside from this one loan, we had a handful of other CRE and C&I relationships that contributed to the increase we saw in the total criticized loans this quarter. The circumstances of each loan are unique however in each case our review of updated financials showed some deterioration in the cash flows of the business. The first relationship consists of two owner occupied CRE loans aggregating $7.7 million. This customer is an importer and distributor and was downgraded to special mention due to their delay of replacing loss sales. We are well secured and we do not see any loss of content at this time. The second relationship consists of an owner occupied CRE loan for $2.2 million and credit lines for $4.0 million to a steel fabricator. These loans were downgraded to special mention due to operating losses as a result of underbidding on jobs. Based on the business outlook and the guarantor’s strong financial profile, we do not expect losses of these credits. The third relationship consists of a $12.8 million credit line to a customer in the retail industry, this loan is currently performing as agreed and again we do not expect losses. Overall, we do not see any trends that would indicate systematic deterioration in our asset quality. It is always difficult to predict one-off credit issues such as what we’ve experienced this quarter, as of these one-off occurrences, the rest of the relatively stable trends we are seeing in the loan portfolio lead us to believe that our loan-loss provision over the reminder of 2013 should be lower than what we experienced in the first quarter. With that, I will turn the call back to Kevin.
Kevin: Thanks Doug. As announced last week BBCN signed a definitive agreement to acquire Foster Bankshares headquartered in Chicago. Just to recap the key terms of the transaction. Foster’s shareholders will have a choice between electing to receive the cash value per share or for those shareholders who qualify as accredited investors, 2.62771 shares of BBCN stock. Shareholders may also elect a combination of cash and stock and there is no limitation on the consideration mix. Based on the closing price of BBCN stock on April 12, this represents an implied price of $34.67 for its share of Foster’s stock. Since its founding in 1989, Foster Bank has been an integral participant and supporter of the niche community in Chicago. This transaction compliments BBCN's position as the premier bank serving Korean-American communities across the United States and extends our leadership in one of our core geographic markets. Upon completion of the transaction, we will have a total of 10 branches in Chicago and be the only Korean-American Bank with operations in this market whether as full service branches or loan production offices. We believe this will serve as a competitive barrier for our niche peers to entering this market. So, the opportunities for long-term growth are considerable. In addition, the transaction will provide BBCN with its first full service branch operations in the DC metropolitan area. This tri-state market including Northern Virginia, Washington DC and Suburban Maryland represents one of the largest and fastest growing populations of Korean-Americans in the nation. However, it is underserved by the Korean-American banks to-date, so we see considerable growth opportunities there. The Foster acquisition will require the approval of our regulators, as well as other customary closing conditions. But, we have already obtained commitments to approve the transaction from the majority of Foster shareholders. We will not be required to file a registration statement for this transaction. Conservatively, we have guided that the transaction will be completed sometime in the second half of 2013, but we anticipate it will likely be toward the end of the third quarter. We are confident that this transaction will benefit all of our key stakeholders including our customers, our employees, and our shareholders. Moreover, we believe this transaction exemplifies BBCN’s profile as a partner of choice for over small niche peers. The operational challenges for smaller community banks under the current regulatory and compliance environment are tremendous. And there are substantial benefits to being part of a larger bank like BBCN with a stronger capital base, a greater ability to absorb the higher cost associated with regulatory compliance, and significantly deeper resources investing in technology. Now before we open up call for questions, I would like to just make one final comment regarding the appointment of Chief Executive Officer at the bank level. As you know, there has never been a Korean American Bank of our stature in the community and the healthy growth of our company is of utmost importance. While this decision has taken a little longer than I had hope for we’re in the final stage of this process and expect to make an announcement very soon. I just wanted to take this opportunity to say on behalf of the Board that we very much appreciate your patience. With that we would be happy to take any questions you may have. Regina, please open up the call.
Kim: Thanks Doug. As announced last week BBCN signed a definitive agreement to acquire Foster Bankshares headquartered in Chicago. Just to recap the key terms of the transaction. Foster’s shareholders will have a choice between electing to receive the cash value per share or for those shareholders who qualify as accredited investors, 2.62771 shares of BBCN stock. Shareholders may also elect a combination of cash and stock and there is no limitation on the consideration mix. Based on the closing price of BBCN stock on April 12, this represents an implied price of $34.67 for its share of Foster’s stock. Since its founding in 1989, Foster Bank has been an integral participant and supporter of the niche community in Chicago. This transaction compliments BBCN's position as the premier bank serving Korean-American communities across the United States and extends our leadership in one of our core geographic markets. Upon completion of the transaction, we will have a total of 10 branches in Chicago and be the only Korean-American Bank with operations in this market whether as full service branches or loan production offices. We believe this will serve as a competitive barrier for our niche peers to entering this market. So, the opportunities for long-term growth are considerable. In addition, the transaction will provide BBCN with its first full service branch operations in the DC metropolitan area. This tri-state market including Northern Virginia, Washington DC and Suburban Maryland represents one of the largest and fastest growing populations of Korean-Americans in the nation. However, it is underserved by the Korean-American banks to-date, so we see considerable growth opportunities there. The Foster acquisition will require the approval of our regulators, as well as other customary closing conditions. But, we have already obtained commitments to approve the transaction from the majority of Foster shareholders. We will not be required to file a registration statement for this transaction. Conservatively, we have guided that the transaction will be completed sometime in the second half of 2013, but we anticipate it will likely be toward the end of the third quarter. We are confident that this transaction will benefit all of our key stakeholders including our customers, our employees, and our shareholders. Moreover, we believe this transaction exemplifies BBCN’s profile as a partner of choice for over small niche peers. The operational challenges for smaller community banks under the current regulatory and compliance environment are tremendous. And there are substantial benefits to being part of a larger bank like BBCN with a stronger capital base, a greater ability to absorb the higher cost associated with regulatory compliance, and significantly deeper resources investing in technology. Now before we open up call for questions, I would like to just make one final comment regarding the appointment of Chief Executive Officer at the bank level. As you know, there has never been a Korean American Bank of our stature in the community and the healthy growth of our company is of utmost importance. While this decision has taken a little longer than I had hope for we’re in the final stage of this process and expect to make an announcement very soon. I just wanted to take this opportunity to say on behalf of the Board that we very much appreciate your patience. With that we would be happy to take any questions you may have. Regina, please open up the call.
Operator: (Operator Instructions) You first question today comes from the line of Aaron Deer with Sandler O'Neill & Partners.
Aaron Deer - Sandler O'Neill & Partners: Congratulations on the announced deal to acquire Fosters. I was wondering if you could please provide any sort of metrics in terms of anticipated loan marks on that book and what kind of intangibles might be created by the deal?
Doug Goddard: When you we look at a deal because we’re trying to project a loan market date on the portfolio in the future, we do sensitivity analysis. We do our analysis of what we think the market would be today and we do high and low and up around. Given the fact this bank has a high level of nonperforming assets as a percentage of loans in double digits, we would expect the loan market to be in the low-to-mid double digits as a percentage of portfolio.
Aaron Deer - Sandler O'Neill & Partners: Okay. And then on the credit numbers in the quarter just wondered if you kind of highlight it what’s going on there and it sounds like just most one off but I’m just curious if there was any change in the credit monitoring or analysis methodology during the quarter that identify these particular credits?
Mark Lee: Yes this is Mark. We have not had any specific changes to how we monitor credits. Regards to the $10.3 million commercial real estate loan, as we discussed with the borrowers, we were notified the absence of the tenant and therefore we worked with the borrower to modify the credit.
Aaron Deer - Sandler O'Neill & Partners: Okay and did I hear you correctly that the property is located in Michigan?
Mark Lee: Yes.
Aaron Deer - Sandler O'Neill & Partners:  Okay was that something that was originally originated by its center or not?
Mark Lee: It was part of our prior portfolio center.
Operator:
Scott Valentin - FBR Capital Markets: Good morning. Just two quick questions; one I think Doug you mentioned the SG&A contained some I think, one-time items. I was just wondering what would be kind of a descent run rate to use going forward; maybe you can identify what those one-time items were?
Doug Goddard: Well, the one-time items we mentioned are the management’s chain we did pertain on that. So it’s probably about $800,000 related to that in the quarter. The other thing which, if you are trying to model us, makes a little challenge. We have half a quarter of Pacific International’s G&A in there so that was probably $450,000 of salary in this quarter which is a normal on rate of eight or nine. If you just want to take the current quarter and normalized it is probably will be a million dollars higher than you would expect.
Scott Valentin - FBR Capital Markets: Okay alright great that’s very helpful. And then on the core margin accruals is obviously hard to project given it is a lot about prepayments but just from the core margin, you mentioned loan yields is going to be stabilizing just wondering where you see this is a margin stabilizer as well are there additional liability benefits there that are out there?
Doug Goddard: Well just to clarify I am not sure we are saying the margin itself has stabilized yet just the run rate of new originations have stabilized. Still that is where we are originating loans at a closer to 4.5% the loans that are paying out or in the low fives. So we are still seeing some pressure on loan yields for the next few quarters.
Scott Valentin - FBR Capital Markets: Okay and any liability offset or?
Doug Goddard: Very little.
Scott Valentin - FBR Capital Markets: Very little okay. And then just one final question on the M&A front. You guys have been active obviously you closed Pacific International this quarter you announced Foster Bank shares meaning. Are you guys kind of caught up now in near-term and there is nothing else you can do or you will keep your eye open if another option comes up that you guys have ever looked at on it?
Kevin Kim: We are very open-minded to potential transactions with any meaningful targets. So as long as any such deal would make any operational and financial sense for BBCN, we will be very open-minded for those deals.
Operator: Your next question is from the line of Gary Tenner with D.A. Davidson.
Gary Tenner - D.A. Davidson: I just had a question on balance sheet management, I’m just curious, this portfolio looks like from the table in your press release the weighted average duration of this strategic portfolio went from three and quarter years to almost four years. I don’t know if that was something that was perhaps and are as given the other items but. Any thought on how you’re going to manage the portfolio given your comment on putting some excess cash to work?
Doug Goddard: No. We’ve kept our purchases in that portfolio between 4 or 5 years. The lengthening duration has more to do with the existing portfolio having prepayments slowdown but it doesn’t have to do anything in changing our acquisition profile.
Operator: Your next question is from the line of Julianna Balicka with KBW.
Julianna Balicka - Keefe Bruyette & Woods: Continuing on the securities questions in terms of the existing portfolios having a prepay slowdowns it seems some other banks, a little bit more proactive securities gains this quarter, is that something that you’re thinking about for the rest of the year as part of the duration management?
Doug Goddard: I’m sorry; have to go over that again for me.
Julianna Balicka - Keefe Bruyette & Woods: No, we’ve seen a lot more securities gains this quarter from some banks and part because of the lengthening duration of their existing portfolio is kind of monetizing gains. Are you planning on increasing your securities gains and what are your thoughts about some more active selling in the portfolio?
Doug Goddard: No. We manage our liquidity ratios and is there is ongoing concerns from the regulatory to keep a certain amount of on balance sheet liquidity. And what we have right now on our investment portfolio is about what we would expect to have in term of managing a liquidity position. Given our loan demand, we’re not looking to originate securities for profit; we’re looking to originate loans for profit. So, what’s there is really liquidity play attempted to catch be capital at moderate level of profitability.
Julianna Balicka - Keefe Bruyette & Woods: And in terms on your loan growth this quarter, originations were at a nice level although seasonably down a little bit but the paid downs have slowed relative to what you normally originate, so could you discuss a little bit about the trend there, is that something to kind of think about going forward or?
Kevin Kim: I'm sorry what slowed down? Pay downs, oh. Looking to the other side of the table I don't know if we have any real clear view of that, we're not seeing it move very wildly from month to month.
Doug Goddard: Julianna, just looking at the last couple of quarters in terms of aggregate payups and pay downs and some of the adjustments in any given quarter it ranges anywhere from a little over 100 million to 170 million. So it's frustrating, there are some quarters we may have a large pay down or payoff and that will skew the numbers. So just giving you the range.
Operator: (Operator Instructions). Your next question today comes from the line of Jordan Hymowitz with Philadelphia Financial.
Jordan Hymowitz - Philadelphia Financial: Two things, can you talk about the SBA gain on sale margins and trends they've continued to be very strong?
Doug Goddard: Yes, the second year market for SPA premiums continues to be very strong and first quarter of SPA loan gain was 12.5% premium gain.
Jordan Hymowitz - Philadelphia Financial: I mean that's continued, I mean it's been very strong for a long period but are you continuing to see that level or has there been any weakness or strengthening or?
Doug Goddard: Given the lack of investment opportunity in the secondary market, there is a greater appetite from the investor to purchase more on the government SPA loan products so we expect that to continue in the foreseeable future, also given the low interest rate environment. So we do expect this strong premium in the foreseeable future.
Jordan Hymowitz - Philadelphia Financial : Got it, and next question is when you look at the analysts estimates you know there're $0.28-$0.29 the couple of quarters, you've talked about margins flat to slightly down, are you expecting anything else to be a big gainer or offset that to enable you to hit those numbers in the next couple of quarters.
Doug Goddard: Well, I mean the trend we've been dealing with for the last couple of quarters is losing a little bit on net interest margin and making it up somewhat on volume, the leverage we have short term, are really balance sheet growth, getting maybe some cost saves out of the acquisition which will start to phase in more in the second half of the third quarter. But not, that there is no hidden big windfall out there.
Jordan Hymowitz - Philadelphia Financial: A big stair-step up at least in the next one to two quarters is unlikely?
Doug Goddard: The bigger variable, there is the loan-loss provision, and it’s not linear as we proved this quarter, fortunately. As I say, we expect the loss provision that we have in this quarter to be unusually high, and we’ve tried to look around for another one time loans that could cause this kind of variation and we do not see that right now. So we do expect benefit from a declining provision.
Operator: Your next question is from the line of Scott Valentin with FBR Capital Markets.
Scott Valentin - FBR Capital Markets.: Just with regard to the loan originations, you mentioned that loan yields were flattened; just trying to get a sense of maybe the competitive nature you are seeing up there. Are people losing on terms to keep yielder, and what you are saying maybe different asset classes, both C&I and CRE?
Doug Goddard: In terms of CREs overall sizing in the market whether it’s (inaudible) banking space of a mainstream. It’s really competitive especially in a owner-occupied properties to be even see the rate that are below 4%, that are five to seven years fixed range. Traditionally, we have never been a pricing leader. So we like to originate loans with the very different linked pricing but it’s proven by last couple of quarters in terms of new origination at the yield level that, the yield is only changed about 2 basis points through the last three quarters that we have been tracking.
Scott Valentin - FBR Capital Markets: Okay, and then just in terms of underwriting, any changes to LTVs, are they moving up a little bit, or (inaudible) maybe debt service ratio is moving up on C&I.
Doug Goddard: No we haven’t changed anything on underwriting requirement.
Operator: Your next question is from the line of Pat O’Brien with Fox Asset Management
Pat O’Brien - Fox Asset Management: You mentioned that there were some special payments for the change in management. Would you describe that in more detail, how big was this?
Doug Goddard: I don’t have the 8K in front of me, but I think it was due to (inaudible)
Angie Yang:
Pat O’Brien - Fox Asset Management: Okay, what would the provision have been except for the special items that you mentioned?
Douglas Goddard: Well, that the one loan drove $5.1 million of provision.
Angie Yang: So if you take that out, it looks much like recent quarters. 
Operator: Your next question is from the line Don Worthington with Raymond James.
Don Worthington - Raymond James Equity Research: Doug, you mentioned the loans acquired in the Pacific International but I missed that what was the net amount of loans acquired?
Douglas Goddard: The net, as market to market was approximately $130 million.
Don Worthington - Raymond James Equity Research: And then in terms of the deposits acquired, would you expect any of that to runoff, or would you plan around any off in terms of may be CDs, they are above market?
Douglas Goddard: I felt no, I mean there is always some attrition when you do a merger. But there is simply nothing. They were intentionally running off into the extent we do lose some just because there is some turnover we expect to offset that by bring in deposit.
Bonnie Lee: We have been tracking the deposit trends through the acquisition and we actually, initial couple of weeks, we had gained some of the deposits and we have fluctuations on the average balance, but we haven’t hit any greater outlook from the prior deposits.
Operator: Your next question is from the line of Julianna Balicka with KBW.
Julianna Balicka - Keefe, Bruyette & Woods: Under two acquisitions, the Pacific International and the Foster Bank, you mentioned the credit marks, but could you talk about the interest rate marks or any other accretion related expectations we should have in the near term for both Pacific International and Foster when that kicks in? And also what is the remaining accretion income that we should be now thinking about from the merger of equals?
Douglas Goddard: I will answer the one that’s easy here at the end. The remaining of the merger of equals is about $48 million. We haven’t really done the loan mark to drive our accretion on the Foster yet. That’s projecting, but it is the net effect. If you are trying to model, it’s basically you could pretty much take whatever is on there as non-performing assets and convert it to performing assets. So if you have a look at Foster Bank, you have got something like $40 some million to go in December as non-performing assets. You would go convert those to 5% to 6% earning asset. So that’s kind of what the net effect of all the plus/minus of the acquisition mark is. On Pacific International, obviously in the current quarter it was de minimis the impact was really only six weeks impact, I mean I think the total accretion was $100,000 or something like that.
Julianna Balicka - Keefe, Bruyette & Woods: And then in terms of the impact to your ongoing EPS from both acquisitions, now what are your thoughts once kind of the lending kind of ramps up. You said a couple of quarters out for Pacific International before you start seeing any dropdown to bottom-line; I assume something similar for Foster which is equally troubled. But when you kind of forecast on to 2014 or 2015 even, what are your thoughts?
Doug Goddard: Well I think the two deals; on the Pacific International, once we kind of get to the cost, the stabilizing the cost, we expect that to be accretive in its first year, in the neighborhood $0.04 a share at a quarter. And the Foster deal is roughly double of that.
Julianna Balicka - Keefe, Bruyette & Woods: Okay very good. Thank you very much.
Operator: Ladies and gentlemen, this does conclude the question-and-answer portion on today's broadcast. I would like to turn the call back over to management for nay closing remarks that you would like to make.
Kevin Kim: Once again thank you for joining us today. We would look forward to speaking with you next quarter.
Operator: Thank you. Now with that ladies and gentlemen, we will go ahead and conclude today. Thank you so much for your participation. You may now all disconnect. Have a great day.